Operator: Greetings and welcome to the Target Hospitality Second Quarter 2020 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Mr. Mark Schuck, Senior Vice President of Investor Relations. Thank you. You may begin. 
Mark Schuck: Thank you. Good morning, everyone, and welcome to Target Hospitality second quarter 2020 earnings call. The press release we issued this morning outlining our second quarter results can be found in the Investors section of our website. In addition, a replay of this call will be archived on our website for a limited time. Please note the cautionary language regarding forward-looking statements contained in the press release. This same language applies to statements made on today's conference call. This call will contain time-sensitive information as well as forward-looking statements, which are only accurate as of today August 10, 2020. Target Hospitality expressly disclaims any obligation to update or amend the information contained in this conference call to reflect events or circumstances that may arise after today's date, except as required by applicable law. For a complete list of risks and uncertainties that may affect future performance, please refer to Target Hospitality's periodic filings with the SEC. We will discuss non-GAAP financial measures on today's call. Please refer to the table in our earnings release posted in the Investor section of our website to find a reconciliation of non-GAAP financial measures referenced in today's call and the corresponding GAAP measures. Leading the call today will be Brad Archer, President and Chief Executive Officer followed by Eric T. Kalamaras, Executive Vice President and Chief Financial Officer. After their prepared remarks we will be joined by Troy Schrenk, Chief Commercial Officer and open the call for questions. I will now turn the call over to our Chief Executive Officer, Brad Archer.
Brad Archer: Thanks Mark. Good morning, everyone, and thank you for joining us on the call today. In addition to discussing our second quarter performance, I will touch on our continued focus around capital discipline and cost reductions, as well as the recent trends we have seen from our energy end market customers. In this challenging environment created by the COVID-19 pandemic and simultaneous shuts to global commodity markets, Target delivered solid second quarter results. We took decisive steps in reaction to what was a pronounced reduction in customer activity and utilization levels. These steps align Target with customer demand and supported continued strong cash generation with discretionary cash flow for the second quarter of approximately $15 million. As the COVID-19 pandemic accelerated in entering the second quarter, Target quickly implemented an operational response plan to ensure the health and well-being of our employees and customers. We have maintained this focus and as a result we have not had any cases of COVID-19 impact our business. We also took immediate action to appropriately position the business for what we anticipated to be a challenging 2020. Amidst sharply declining utilization, we began dynamically managing capacity across our network to align with demand and our customers' needs while quickly reducing cost across the organization. Our cost reduction initiatives remain on track and our second quarter results reflect meaningful reductions in capital spending, cost of services, and recurring corporate expenses. These cumulative steps have allowed Target to maintain operating leverage and preserve robust cash generation in this challenging environment. We have positioned Target for long-term success, and as market dynamics evolve, there is a potential to organically gain additional market share as we return to a more normalized pace of activity. Now, turning to the recent trends we have seen across the business. As we exited the second quarter, we began to see signs of activity stabilizing from our energy end-market customers and incremental gains in Target's occupancy and utilization trends. We have seen improvement in these metrics from lows that occurred in late May. Albeit modest, we have seen these positive trends continue through June and July. As a result, we have reopened several lodges that were temporarily closed early in the second quarter to meet increasing customer demand in both the Bakken and Permian. However, like many other industries, as we continue to move through 2020, there is downside risk from potential slower economic recovery or multiple ways of COVID-19 related shutdown. We remain cautious on a meaningful increase in activity levels through the remainder of 2020 but do anticipate marginal improvements as we move into the third and fourth quarter followed by seasonal deceleration late in the year. Even with incremental improvement in the second half of 2020, progress is likely to be uneven in the near term. As activity progresses towards normalizing, we will provide the market a revised 2020 outlook when enough clarity is available. We have positioned Target to be successful through a variety of business cycles. While this one is certainly different, we will benefit from incremental improvements in activity levels as a result of our high-quality top-tier customer base and expansive networks in the most economical basins. These are key factors that differentiate Target allowing us to appropriately manage the business in challenging environments. The second quarter results are indicative of our ability to navigate an unprecedented situation and remain focused on ensuring the long-term success of Target Hospitality. I will now turn the call over to Eric to discuss our second quarter results in more detail. 
Eric Kalamaras: Thank you, Brad, and good morning, everyone. I will begin with the discussion of our results, review our capital program, and conclude with details on our progress mitigating financial impacts from the economic uncertainty we are experiencing. As we anticipated, we experienced a sharp decline in utilization in the second quarter due to the COVID-19 pandemic and declining global commodity markets. However, in this challenging environment, we were able to produce strong quarterly results. Second quarter 2020 total revenue was approximately $54 million, adjusted EBITDA was approximately $14 million, and discretionary cash flow was approximately $15 million. Turning to our segment performance. The Permian Basin delivered second quarter revenue of $21 million compared to $52 million in the same period last year. This decrease was driven by lower utilization as customer demand was sharply reduced in response to the accelerating global pandemic and crude oil price volatility. In the Bakken, as a result of the temporary closure of our communities in May, the second quarter revenue was negligible. We have seen incremental improvements in customer activity and demand in the region and have recently reopened lodges in response to this increase in demand. Our government segment remained consistent with quarterly revenue of approximately $17 million. Our All Other segment which consists primarily of construction fee revenue from TC Energy pipeline project had revenue of approximately $16 million for the second quarter compared to $3 million in the same period last year. The revenue increased as a result of TC Energy announcement to proceed with the project in March. However, as a result of the Supreme Court ruling in July, we anticipate limited activity associated with this project for the remainder of 2020.  Recurring corporate expenses for the quarter were approximately $7 million. We took decisive steps to reduce cash expense across the company and restructure the organization to match activity where appropriate. These measures contribute to an over 7% reduction in recurring corporate expenses from the first quarter, and we are on track to contribute annualized savings of approximately 20%. With our expense reductions, we anticipate recurring corporate expenses to remain around $6 million to $7 million per quarter for the remainder of 2020.  We generated cash flow from operations of approximately $15 million in the second quarter, and a 27% discretionary cash flow yield of revenue, which illustrates the significant resiliency in our business model. Even in this challenging environment, we expect to continue generating robust operating and discretionary cash flow, providing sufficient capacity to fund all normal course business activities, as well as to strengthen our balance sheet. Capital expenditures for the second quarter were approximately $1 million, including minimal maintenance capital. As a result of lower aggregate demand in reduced customer activity levels, Target anticipates capital expenditures to be less than $3 million for the remainder of 2020, or $7 million to $10 million for the full-year. We ended the quarter with $425 million of total long-term debt, including $85 million drawn on our revolving credit facility, and consolidated net leverage of 3.4 times. As a reminder, our long-term debt consists of $340 million in Senior Secured Notes due 2024, and $125 million ABL facility which have no near-term maturities or immediate financial covenants, providing us with significant flexibility and liquidity within our capital structure. In addition, we anticipated our outstanding debt balance to be reduced in the second half of 2020 from continued cash generation which were only further - our available liquidity. Now, turning to the progress we’ve made and mitigating the effects of the ongoing economic uncertainties. The second quarter results illustrate the pronounced reduction in activity and utilization levels we anticipated. However, we took decisive action to reduce costs during the quarter, and we’re able to reduce our Permian and back end cost of service by over 30% compared to the first quarter. As we previously outlined, we took proactive steps to modify, select the commercial contracts for the long-term benefit of Target. These discussions resulted in a mutually beneficial outcome, providing lower committed beds to our customers in 2020, while maintaining contract integrity by preserving ADR and margins for Target in future years. In addition, we gained greater visibility and long-term revenue and cash flow by extending contract commitments including exclusivity from 2021 into 2025. As part of our negotiations, we obtained approximately $60 million of additional minimum revenue commitments at attractive margins. This also significantly reduces near-term contract renewal risk that was coming up into 2021. These modifications appropriately positioned Target to participate in increased demand given our enhanced market share capture as we progress to a more normal operating environment next year.  Our cumulative response to these economic uncertainties has been taken with the focus of preserving liquidity, protecting our balance sheet, and retaining financial flexibility. Our cost reduction initiatives, along with our focus on capital discipline, allowed us to exit a challenging quarter with approximately $60 million in liquidity, an increase of $14 million in the first quarter of this year. We believe the strength of our balance sheet and cash position, along with a continued focus on capital stewardship, will provide the opportunity for Target to prevail a stronger, more resilient company as we return to a more balanced market. With that, I will turn the call back over to Brad for closing comments.
Brad Archer: Thanks Eric. We anticipated the second quarter to be challenging, and it was. We witnessed a significant reduction in our energy end market customer activity, which resulted in a pronounced reduction in utilization across our network. In a challenging environment, our strong second quarter results are a testament to Target's ability to quickly react to an unprecedented situation. We protected our balance sheet and exited the quarter with an enhanced liquidity position. We have intentionally established Target’s the expansive network within most economical basins in North America while aligning with first-class customers and the best operators in the region. These factors underscore our ability to continue to succeed in challenging environment while the scale and pace of an improving economic outlook is difficult to predict, Target is well-positioned to adapt to changing market conditions and take advantage of the eventual recovery. I appreciate everyone joining us on the call today, and thank you again for your interest in Target’s Hospitality. Operator, you may now open the line for questions.
Operator: [Operator Instructions] Our first question is coming from Jeff Grampp of Northland Capital Markets. Please go ahead.
Jeff Grampp: I was curious - first off, appreciate the commentary on kind of inter quarter and 2Q and what you guys have seen thus far in 3Q.Just hoping to dive in on that a little bit more. Do you guys have any sense I guess or any level of confidence at this point to be able to say that 2Q was kind of the trough if we look at just kind of the energy business ex-Keystone because I know that kind of a separate kind of dynamic there, but if we just kind of look at the core Permian Bakken exposure? Do you guys feel that 2Q was the trough given what you've seen thus far in 3Q or can you just kind of talk about how you're seeing directionally the remainder of your plan now?
Brad Archer: Yes Jeff, this is Brad. Let me take that first then Eric can jump in as well. But we do believe it's the trough. I think the question is, how fast and how steady does it continue to rise, right. If you look at the trough in May, we’ve seen 10 consecutive weeks now of increase in our occupancy. We think that definitely shed some light on us calling it a trough. I think there's definitely things out there that could change it depending on what happens with COVID and how it goes. But it's at a steady state and we believe it's still a slow crawl up, but we see better occupancy as we continue to move into the third and fourth quarter.
Eric Kalamaras: Jeff it’s Eric good morning. I think as we indicated last quarter, I wouldn't say a lot has changed in our outlook as we think about the back half of the year. Certainly, the one positive thing that has been helpful is that the movement off the trough is - little faster than what we had initially modeled, which is helpful. I think as Brad indicated, as you look out going into Q3 and into Q4 to some extent, we do expect this movement up. But I think from a planning perspective, we're cautiously optimistic, but we are being sober about there are certainly a number of unknowns, and we'll just have to play those out as we move through the year. But we're certainly looking forward to some positive momentum as we continue some trajectory here.
Jeff Grampp: And my follow-up on the ADR side, Permian outperformed quite a bit than what we were expecting and was up a decent amount sequentially. Is there anything going on there that you kind of point to, and is that a good baseline to think about going forward or just how we should think about maybe ADR kind of going for the rest of the year? Thanks.
Brad Archer: Sure, that's a great question, and you're right. Yes, there is something going on there. And so, if you recall, we had worked through some contract modifications with a handful of large key customers. And some of those discussions - there were amounts owed to us that we imputed as part of the change in contract. And so what you're seeing and particularly this quarter was some of that revenue coming through and hitting ADR positively, but certainly, doing it with no increase in utilization and certainly no cost of service attached to it. So, that had the net benefit of increasing the ADR above and beyond what you otherwise would have expected. I think you look to normalize those out. If I'm you, I would take a few dollars off of that as we look out in the future. And I wouldn't think your ADR will be much different than it was, let's say - first quarter. So, if you think about first quarter relative to third and fourth quarter that probably puts you on a better spot moving forward.
Operator: Our next question is coming from Stephen Gengaro of Stifel. Please go ahead.
Stephen Gengaro: I guess while you're on the topic you were just on, I'll ask you this. Your Permian gross profit margin was down. I know occupancy was down and the market was awful. But given that ADR move, if you get back to a similar ADR going forward - I guess what I'm getting at is how much of the change is ADR-related and how much is kind of under absorption as we try to think about back half margins in the Permian?
Brad Archer: Sure so, let's take a step back and you're asking a great question, but let's take a step back though. So, when, we look at the contracts and had the discussions with some of the counterparties. We made the election this year to be constructive and work with our customers and a handful of customers at that, which did impact how we think about the business and the performance of the business as we move through 2020. But that - it has a positive impact to us in 2021 through nearly 2025 at this point, okay. So there was - absolutely some positive things to us. And so, when you think about your question, it's really a function of occupancy at that point. And, we came out of this with a better contract structure. But the reality is, the occupancy was down substantially. And, we did give on some of the committed revenue that we otherwise would have expected, which had a net impact of hurting the margin. Now, we expect to get substantially - a substantial portion of that back in the 2021 and particularly in 2022. So, I think when you look at it, you have to look at it in totality and not just look at it in 2020.
Stephen Gengaro: And then the - can you talk about - so we look at the Permian numbers and they were better than expected in aggregate. But when we look at the monthly progression through the quarter and when we look at, July, and we’re on August 10. So, I think you have pretty good visibility into August by now. How does - how did the first - what's that trajectory look like? And how is the third quarter occupancy shaping up relative to the second quarter and sort of the monthly progression? Because, you're halfway through the quarter almost, I figure you have pretty good sense for the first couple of months?
Brad Archer: Look, I'll take that, and again, Eric can jump in if he wants. But trajectory is a little slow. It started off - fairly quick, it hit the bottom. And as I said, 10 straight weeks of increase in our occupancy, but we've seen that it's still on a trajectory going upward but it’s a slowed some in the past few weeks. So look, we look for that to continue upwards as we continue into the third and fourth quarter. The question is how fast, right? Right now, we believe that's going to be a slow crawl up and definitely throughout 2020 and part of 2021.
Eric Kalamaras: Yes, I think Stephen we, look you're asking great questions. And I think the reality is this, there are so many unknowns that we are not expecting. What I'll call something that's a meaningful improvement, until kind of mid next year, based on what we know today. Now and we're not getting that feedback necessarily from customers. We're giving that feedback from our experience in these businesses and how long it takes to typically come off cycles. And kind of peak and trough and all that and I'm not saying there's a peak - in the year certainly either. I'm saying that we don't expect that we’ll see meaningful improvement. And so, I think what we're - look we're planning on 12 to 18 months before we are at approaching levels of utilization and ADR, ADR peaks that are consistent with what we would have expected in this business, kind of on a mid-cycle basis. And so, we think we're a little bit away from that, but we're continuing to make some improvement.
Stephen Gengaro: And just one more if you don't mind, and then I'll get back in the line. But the - when I think about the Permian revenue, if you look at the revenue for the quarter, the occupancy, the utilized rooms, are the utilized rooms physically utilized or just rooms that are paid for?
Brad Archer: The utilization definition are rooms that are effectively, that are effectively paid for. Now, remember, we modified - select number of contracts that drove the lion's share of that down this quarter and into Q3 as well, okay. So you have to bear that in mind. So in the short run it feels much more like occupancy until we get into 2021 where those modifications in the contracts will start taking hold in a more firm way in terms of minimum revenue commitments. But so, it looks a little bit different than what you're used to seeing but it is technically off of the revenue.
Stephen Gengaro: Okay.
Brad Archer: Which gets us back to the utilization.
Stephen Gengaro: Great, thank you.
Operator: [Operator Instructions] Our next question is coming from Kevin McVeigh of Credit Suisse. Please go ahead.
Kevin McVeigh: I wonder if you could just give us a sense with some of those contract renegotiations what you were able to benefit from? Obviously you're working with those partners pretty close, but is there anything you'd call out and we should look forward just based on incremental benefit to Target?
Brad Archer: Sure, I'll kind of give them to you at a higher level on what we are trying to accomplish and what we defectively did accomplish. So we gave certainly to some extent for 2020 and really gave them a relief that many of them needed. And again, we're talking about a handful of large customers, right. So large of our customers and kind of giving them breaks of over six to nine months, but in return what we’re getting are two things. One, meaningful extensions to the backend some of which we’re talking about we’ve put in the release right for the $60 million of additional revenue commitment. In addition to that, we have extended term on the initial contracts that we’re dealing with today. So those are two positives. The third thing we’re getting is, in many cases - in nearly all cases, we have kept ADR nearly static or in some cases, have increased. So, we’ve kept pricing and kept margin. So, what happens is as we move through time, you have the minimum revenue commitments kick in at an escalating rate as we move through time. At margins that are nearly equal to or in some cases better than what we're at today. While we're doing that, we're also able to remove a number of deferral mechanisms, which were in other contracts. So, when we look at this Kevin, in total. We look at it and say look, we gave some things in 2020, but when we look at the structure of the contract, and we look at the duration of the contracts, and we look the present value of the revenues going further out in time. We think, we did quite well for the long-term benefit of Target. 
Kevin McVeigh: No, that makes sense. And then, just on the competitive side obviously, there's a lot of uncertainty, but any just thoughts on the use of cash. Do you keep it, is there maybe any strategic acquisitions just any thoughts on capital allocation within the context just some of your competitors?
Brad Archer: Yes what, I…
Kevin McVeigh: Hi, Brad.
Brad Archer: How you’re doing, Kevin? What you're not going to see us is going and spending the money in the Permian doing acquisitions or anything like that. I think the cash flows will be put towards debt. I think we've been pretty open about that. I think the great thing is we were able to reset our costs. We did not have to negotiate on these contracts, and we could have had a much better 2021 than what we're setting here today telling you. But we think renegotiating and being a good partner with our customers allows us to really do even much better in the outer years. So I think - the cash as you talk about definitely continues to grow. We continue to put that towards - at this point, towards the debt. But I would also tell you we've been talking about diversification for a while. It’s something we still have top of mind, something we will do, looking at different facilities, management, catering those types of things. It's what we already do in some of our locations. And we think that create business that we can scale pretty quickly and helps diversify us into many other industries. So, it's something we're going to keep our focus on. It's nothing that we have right at hand today. But we think it comes.
Eric Kalamaras: So I think Kevin, the other thing I would add is that we are - when you think about transactional activity. And as Brad mentioned, we don't see the need or reason to do a lot in the Permian. One of the reasons for that is that we have already picked up effective market share just based upon what's happened in the environment there, what's happened with our competition. The contractual modifications we've made. And the extending exclusivity out a number of years for contracts that maybe we had exclusivity in the year or two, now been moved out three, four or five years. And so, we have picked up effective market share. And we see much less of a need to go out and do something transactional in the Permian. What that allows us to do in the meantime is strengthen the balance sheet, as Brad mentioned, but to really focus much more diligently on expanding the diversification on cash flows.
Operator: Our next question is coming from Stephen Gengaro with Stifel. Please go ahead.
Stephen Gengaro: Just to follow-up one more time on this so I understand the dynamics. If you thought about the second quarter margins in the Permian and then you sort of thought about, I don’t - it doesn’t really matter exactly what timeframe, but if whether it’s back half of this year or first half of 2021 and the progression, what are the stepping stones? Because I think you have cost out, you have ADRs normalizing from second quarter levels, and then you maybe have higher occupancy. And I’m just talking about the cost structure that’s in place relative to the occupancy and the variable costs associated with adding maybe some more people to the rooms? I’m just trying to get a better handle on that. What we should think about from a progression perspective?
Eric Kalamaras: So Stephen, is your question around margin expansion and the movement [indiscernible].
Stephen Gengaro: Yes, what are the puts and take?
Eric Kalamaras: Yes, yes.
Stephen Gengaro: What are the puts and takes to the margins as we go over the next several quarters?
Eric Kalamaras: Okay so couple things. So - in the midst of the pandemic when it was happening clearly on mid-March, right. We did not see - start seeing any sort of meaningful impact to us until really the first or second week of April, right? So we were probably behind things by about a month from where you were feeling it in real time. And so, what I think ends-up happening is we ended up moving cost down low pretty substantially. But it was albeit delayed from probably where people might expect just because, we had to still continue to facilitate the customer. And so, now what we're looking at is a spot where we feel like where cost can almost completely caught up. And as we increase occupancy, as we move through time and have some ADR pick up through some additional service. What I expect is that we have margin expansion because now we've got costs better and balanced, right. So, I think that's the piece that –I don't put a number on that Stephen, but I’ll just tell you that - there should be a bigger spread between revenue and cost at this point as we move forward in time.
Brad Archer: Yes because there's always a static cost. It’s just not going to go down and as utilization increases, you should take out as you say 100%.
Eric Kalamaras: Remember we've talked before about the split roughly 70-30. When we look at cost of services, about - and this is an average of about 30% is more a fixed nature but 70% is more of a variable nature. So, obviously as you bring the revenue pool down, your fixed pool is going to start becoming a bigger allocation of that, right. So, as we start moving revenue back up and occupancy increasing, now your fixed spread is going to start coming back down on you. And so, you should start seeing some margin expansion as we move to time.
Stephen Gengaro: And - were July and August better than June?
Eric Kalamaras: From, what margin basis or just in general?
Stephen Gengaro: From a revenue perspective and maybe if you don't answer that directly..?
Eric Kalamaras: It is directionally as we've indicated. It is continuing to be directionally positive. I think what Brad was saying before was that the pace from May through June, that positive slope of the curve was quite high. What we're seeing now is the slope of that curve is coming down, but it's still upward slowing so.
Stephen Gengaro: Got it.
Eric Kalamaras: Yes, it is positive, but I think we want to just - I think we just caution - look don't make it linear through the model as all we're saying, okay, because we just don't know what - end of Q3 and Q4 really looks like. Is that fair?
Stephen Gengaro: I understand that. Yes that’s fair, that’s fair. And then just one more and that is when you think about your occupancy and I look at a market right now that we'll seemingly have a meaningfully lower average rig count in the third quarter, but a rising completion count and more frac crews.? Is there a way to think about those competing factors on your utilization as we - even maybe not just third quarter but just going forward like are there more people on the completion side, more people on the drilling side fairly close if we get completion rising 20% and drilling falling 10%? Is that good or bad? Is there a way to think about those two dynamics?
Brad Archer: That's getting pretty binary. I mean, at some point…
Stephen Gengaro: It’s clearly the completion activity is rising and drilling is falling, right?
Brad Archer: Yes I mean, to be fair, I mean there are more people that are doing the servicing when you're doing perforations and frackings and then re-frac and all that than there is actually drilling, right? There's no question about that. What we are seeing are customers taking advantage of lower rig rates. And so producers are drilling more wells, right. But they are not completing them, okay. So, I think what you would expect to see over time as pricing allows it is for an influx of completions which then provides more opportunity for human capital to come in. But look, there's a lot that can happen between here and there.
Stephen Gengaro: You know because the data we see suggests that completion crews are rising pretty nicely and drilling activity is down quarter-over-quarter just on average?
Brad Archer: I mean, if you look at who is on our lodges, it's definitely the completion crews that came back, right.
Stephen Gengaro: Got you yes, yes.
Brad Archer: So, we're definitely seeing that. I think, again, our question goes back how is that continue going forward how fast? What's the pace of that? But we've had some of these come back really nicely especially our larger customers, right? So, we like where that’s headed it’s just not as fast as we’d like to see it at this point.
Stephen Gengaro: Okay. And I think you did make a note earlier - like you’ve gained some share throughout this?
Brad Archer: Yes I mean, look we've done this - and the last time it happened in North Dakota. Here, what we're seeing is, and I don't think it's a secret, but you're going to see the larger customers be a bigger spend of capital in the Permian, right. I mean, from the larger E&Ps and then your larger service companies are going to get the lion's share of that, and we're starting to see that today. Some of the bankruptcies that have taken place are - they’re affecting us in a nice way. You seen Chevron - we all know they are customer of ours. Does that affect us? We think at some point it affects in a positive way. We don't think the consolidation in the basin is done. And we're setting with these contracts. And the reason we wanted to work with a customer - many reasons, but one of them is we believe in the basin. We believe there's going to be more and more CapEx spent there as the market recovers. And we're going to be setting in a very, very good position to take advantage of that.
Operator: Thank you. This brings us to the end of the question-and-answer session. I would like to turn the floor back over to Mr. Brad Archer for closing comments.
Brad Archer: Sure, thank you. Thanks everyone, for your time today. We appreciate your continued interest in Target Hospitality, and we look forward to speaking again next quarter. Thanks.
Operator: Ladies and gentlemen, thank you for your participation. This concludes today's event. You may disconnect or log off at this time, and have a wonderful day.